Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Ingredion Incorporated Fourth Quarter 2020 Earnings Conference Call. At this time, all participant lines are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I'd now like to hand the conference over to your speaker today, Tiffany Willis, Vice President, Investor Relations and Corporate Communications Officer. Thank you. Please go ahead, ma’am.
Tiffany Willis: Thank you, Shannon, and good morning and welcome to Ingredion's fourth quarter 2020 earnings call. I'm Tiffany Willis, Vice President of Investor Relations and Corporate Communications Officer. On today's call are Jim Zallie, our President and CEO; and Jim Gray, our Executive Vice President and Chief Financial Officer. We issued our results today in a press release that can be found on our website, ingredion.com, in the Investors section. The slides accompanying this presentation can also be found on the website and were posted today for your convenience. As a reminder, our comments within this presentation may contain forward-looking statements. These statements are subject to various risks and uncertainties. These statements include expectations and assumptions regarding the company's future operations and financial performance, including the impact of the COVID-19 pandemic. Actual results could differ materially from those predicted in the forward-looking statements, and Ingredion assumes no obligation to update them in the future as or if circumstances change. Additional information concerning factors that could cause actual results to differ materially from those discussed during today's conference call or in this morning’s press release can be found in the company's most recently filed annual report on Form 10-K and subsequent reports on Form 10-Q and 8-K. During this call, we also refer to certain non-GAAP financial measures, including adjusted earnings per share, adjusted operating income and adjusted effective tax rate, which are all reconciled to U.S. GAAP measures in Note 2, non-GAAP information included in our press release and in today's presentation appendix. And now I’m pleased to turn the call over to Jim Zallie.
Jim Zallie: Thank you, Tiffany, and good morning, everyone. Before discussing our strong fourth quarter results, I’d like to comment on the events of last year and put in perspective what it said about the resilience of our business, the character of our people, as well as the quality and relevance of our strategy for growth. Guided by clear priorities from the start of the pandemic, in support of our employees’ health and safety and our customers' needs, we were able to not just ensure business continuity but enhance business services, improve operational efficiency, drive commercial excellence, and improve the customer experience. Our business adjusted quickly to the abrupt and historic slowdown of economic activity in quarter two, to ensure we were well positioned to participate in a steady second half recovery and enable us to exit the year with positive momentum. Throughout the year, our people kept rising to the challenge, persevering with a purpose and progressing an ambitious operational agenda. Finally, last year further validated the robustness of our strategy, providing us with continued strong confidence in the targeted areas we are pursuing for growth. Now turning to the fourth quarter and full year results, we were very pleased with our operational execution and financial performance. For the quarter, global net sales were up 3% compared to the year ago period. Absent foreign exchange impacts of $26 million, net sales were up 4% versus the prior year. Quarter four net sales results were sequentially better than the third quarter’s 5% year-over-year decline, thus demonstrating demand recovery. Adjusted operating income for the quarter was up 11% year-over-year and up 13% absent foreign exchange impacts, driven by lower operating costs and favorable price mix in North America, as well as strong price mix and better volumes in South America. For the full year, our global net sales were down 4% compared to the year ago period, absent foreign exchange impacts of $164 million. Net sales were only down 1% versus the prior year. Adjusted operating income for the year was down 7% year-over-year and down 3% absent foreign exchange impacts. The decrease is largely attributable to lower sales volumes in North America due to COVID-19’s impact on economic activity, the inclusion of PureCircle results and higher corporate costs due to strategic investments to drive business and digital transformations. These decreases were partially offset by strong price mix in South America. As you can see from our first quarter 2020 results, we entered the year with good momentum. At the height of the pandemic’s impact, our second quarter results were pressured, but we adjusted our operations and supply chain quickly to the new reality and pivoted to serve our customers in new and different ways. This enabled us to benefit from the recovery as COVID-19 restrictions began to ease in the third quarter. The momentum carried forward into the fourth quarter, resulting in a great quarter and a positive close to the year. Our teams executed well and our strategy was validated. We made excellent progress against our strategic pillars and are pleased to share some great proof points with you. Specialty ingredients proved particularly resilient, growing globally and in each region with overall specialty sales now accounting for 32% of Ingredion’s total sales, up from 30% in 2019. The PureCircle and Verdient acquisitions set us up well to capitalize on the growth in sugar reduction and plant-based foods. And we continue to diversify our specialty’s portfolio beyond corn, expanding capacity and capabilities in tapioca, rice and potato based specialty starches. We were recognized by many customers for our supply and service responsiveness to the challenges presented by the pandemic and the creative way in which we engaged and delivered commercial excellence in a virtual world. We collaborated in over 1,300 digital engagements last year. Partnering with our customers, we also made great strides against our 2025 goal to be 100% sustainably sourced for our six primary nature-based raw materials. We exceeded the $90 million to $100 million Cost Smart target for 2020 by delivering $103 million of run rate savings. We established an office of transformation, progressed globalizing shared services, and have embarked on a new phase of reimagining and reinventing the way we work, leveraging digital tools and new organizational constructs to drive simplification and deliver increased efficiencies. All of this work was underpinned by our purpose-led culture and foundational values, which helped guide us as we navigated the health crisis and manage the impact to employees from elevated social injustices made so apparent in 2020. We continued expanding our specialty portfolio, significantly enhancing our growth prospects in plant-based and animal alternative proteins and solutions for sugar reduction. The Verdient acquisition expands our plant-based proteins capabilities, adding a broad portfolio of in-demand, sustainable, pulse-based flowers and protein concentrates. At the same time, our South Sioux City facility has been recommended for food grade certification, and we are processing pea protein isolate in preparation for commercialization this year. The expected future capacity from these investments has led to the development of a growing customer project pipeline, which we expect will convert to specialty sales as we move through 2021. Our acquisition of the leading producer of stevia-based sweeteners, PureCircle has significantly expanded our capabilities in sugar reduction. We've moved swiftly to integrate this business, actioning over $14 million of cost synergies before the end of last year. These moves along with the benefits inherent in leveraging Ingredion’s global go-to-market network, provide exciting opportunities to drive revenue synergies commencing in the first half of this year. As we offer more complete sugar reduction systems to a broader base of customers. Moving to Cost Smart, we delivered significant improvements in operational efficiencies and achieved $103 million of run rate savings well in excess of our 2020 Cost Smart savings target. We remain on track to reach our $170 million target Cost Smart savings [Audio Gap] And now let me hand it off to Jim Gray, who will provide a financial review. Jim?
Jim Gray: Thank you, Jim. North America net sales were flat for the quarter versus prior year, volume continued to improve following net sales declines in the previous two quarters. Operating income was $129 million, up 14% versus the prior year. The increase was driven by the layout of corn costs during the year and favorable price mix. For the year, net sales were down 4%, driven by sales volume decline in the second and third quarters due to COVID-19 impacts on consumer mobility and consumption. Operating income was $487 million, a decrease of $35 million, which was driven by significantly lower away from home consumption across the region and the shutdown of brewery customers in Mexico in the second quarter. Partially offset by lower net corn costs and favorable price mix in the fourth quarter. Moving to South America in the quarter, net sales were up 6% versus prior year. Absent foreign exchange, sales were up 19% driven by favorable price mix across the region and better volumes in Brazil. Q4 operating income was $44 million, up 26% versus prior year, as favorable price mix and higher volume, more than offset foreign exchange impacts. Excluding foreign exchange impacts, the adjusted operating income was up 40% in the quarter. For the year, net sales were down 4% driven by foreign exchange impacts primarily in Brazil. Excluding foreign exchange impacts, net sales were up 10% due to strong price mix. Full year operating income was $112 million, an increase of $16 million from the year ago period, due to strong price mix, which was partially offset by unfavorable foreign currency and lower sales volumes. Excluding foreign exchange impacts, operating income was up 35%. Moving to Asia-Pacific, net sales were up 8% on the quarter compared to the prior year, which includes the addition of PureCircle. Absent PureCircle, Asia-Pacific net sales would have been flat. Operating income was $20 million in the fourth quarter, down 9% versus prior year. This includes a $6 million operating loss for PureCircle. Excluding PureCircle, fourth quarter operating income was $26 million, up $4 million from the year ago period, driven by lower input costs and lower operating expenses. Full year net sales were down 1% driven by lower volumes and unfavorable price mix, partially offset by the addition of PureCircle revenues for five months of the year. Full year operating income was $80 million, a decrease of $7 million or 8% from the year ago period, absent the PureCircle loss of $11 million, full year operating income was up $4 million from the prior year. As lower input costs and COVID-19 government related subsidies offset lower first half volumes due to the pandemic. Shifting to EMEA. Our sales were up 6% for the quarter. The increase was largely attributable to favorable specialties volume in Europe and price mix gains in Pakistan. Operating income was $29 million up 4% for the quarter, the increase was driven by lower input costs and favorable mix in Europe. For the full year, net sales were flat as favorable price mix and volumes were offset by foreign exchange impacts. Operating income was $102 million an increase of $3 million from 2019, excluding foreign currency impacts, operating income was up 7%. Turning to the consolidated corporate results. Net sales of $1,593 million were up 3% for the quarter versus prior year. Gross profit margin was 22.1% up 124 basis points. Reported and adjusted operating incomes were $163 million and $186 million respectively. Reported operating income was lower than adjusted operating income due to trade name impairment, restructuring costs related to our Cost Smart program and acquisition and integration costs, which were partially offset by a benefit from a Brazilian revenue tax judgment. Our reported and adjusted earnings per share were $1.70 and $1.75 respectively. Fourth quarter net sales of $1,593 million were up 3% versus prior year. We experienced negative foreign exchange impacts at $26 million. Sales volume increase of $4 million was driven by the inclusion of PureCircle results, as well as higher volumes in EMEA and South America, partially offset by lower volumes in North America. Favorable price mix of $66 million was largely attributable to pricing actions in South America. Please note that these results benefited from the timing of a $5 million revenue tax adjustment in Brazil. Turning to net sales variance by region. In North America, net sales were flat versus prior year, as price mix was offset by sales volume decline, driven by lower volumes in Mexico, as recovery remained subdued as the restrictions due to COVID-19 lingered. South America net sales were up 6% driven by a price mix increase of 18%, which more than offset the negative impact from foreign exchange weakness. In Asia Pacific, net sales were up 8% driven by the inclusion of PureCircle volumes, excluding PureCircle net sales were flat. EMEA net sales were up 6% driven by specialty volume growth in Europe, favorable price mix in Pakistan, and a benefit from foreign exchange. For the quarter, reported operating income decreased $7 million, while adjusted operating income increased $18 million. The decrease in reported operating income versus adjusted operating income is primarily due to the reasons I previously mentioned. Operating income was up in North America, South America and EMEA. Operating income in Asia Pacific would have also been up excluding PureCircle $6 million operating loss. Corporate cost for the quarter includes strategic investments to drive business and digital transformation and a one-time R&D expense. In addition, our company and current incremental expenses due to COVID-19 for compensation, personal protective equipment, sanitation and health screens, this direct expense amounted to $2 million during the quarter and $13 million for the full year with the majority incurred in North America. Turning to our earnings bridge on the left side of the page, you can see the reconciliation from reported to adjusted. On the right side, operationally, we saw an increase of $0.19 per share for the quarter. The increase was driven by margin improvement of $0.33, which was partially offset by lower volumes of $0.12 and on favorable foreign exchange of $0.04. Moving to our non-operational items, we saw an increase of $0.02 per share for the quarter. Please note that financing costs were higher by $0.03 cents due to the impact of Argentina's hyperinflation accounting. Year-to-date net sales of $5,987 million were down 4% versus the year ago period. Gross profit margin was 21.2%, up 12 basis points. Reported and adjusted operating incomes were $582 million and $659 million respectively. Reported operating income was lower than adjusted operating income due to restructuring costs related to Cost Smart, trade name and other impairments and acquisition and integration costs, partially offset by the benefit from a Brazilian revenue tax judgment. Our reported and adjusted earnings per share were $5.15 and $6 23 respectively. Year-to-date net sales of $5,987 million were down 4% from a year ago. Foreign exchange weakness negatively impacted sales by $164 million. Sales volume decline $202 million of which $183 million occurred in the second quarter. Net sales were favorably impacted by $144 million of price mix. In North America, net sales were down 4% versus prior year as sales volume decline of 5% was driven by lower volumes in the U.S. and Mexico. South America net sales were down 4%, driven by impacts from foreign exchange weakness of minus 14%, which was partially offset by price mix increase of 12%. In Asia Pacific, net sales were down 1% driven by unfavorable price mix and partially offset by volume. EMEA net sales were flat as price mix offset negative foreign exchange impacts in Pakistan. Full year operating income decreased $82 million, while adjusted operating income decreased $46 million, the decrease in reported operating income versus adjusted operating income is primarily due to the reasons I mentioned previously. Operating income was up in South America and EMEA, which was more than offset by declines in North America and Asia Pacific, while Asia Pacific's operating income is down, please note that this includes an $11 million operating loss for PureCircle. Corporate cost for the year includes strategic investments to drive business and digital transformation, as well as one time R&D expense. Turning to our full year earnings bridge. Operationally, we saw a decrease of $0.50 per share, driven by volume decline of $0.53, unfavorable foreign exchange and other income representative declines of $0.24 and $0.02 per share respectively. These decreases were partially offset by margin improvement of $0.29 per share. Moving to our non-operational items. We saw an increase of $0.13 per share year-to-date, driven by lower financing costs and other non-operating income items. Moving to cash flow. Year-to-date cash provided by operations was $829 million. Cash provided by operations improved versus prior year as working capital cash inflow in the current year was lapping and working capital cash outflow and the prior year. Capital expenditures were $330 million, up $5 million from the prior year, due to the timing of payments for investments and our growth projects. At quarter end, we had cash and cash equivalents of $665 million. During the year, we deployed cash towards the acquisitions of PureCircle and Verdient. For the full year, the company anticipates net sales and operating income to be up modestly, driven by specialty ingredients growth, other volume recovery and Cost Smart savings. As mentioned in our press release earlier today, due to the uncertain environment, the company is not currently providing guidance for full year 2021 EPS or cash flow from operations. Also for the full year, we expect corporate costs to be flat and anticipate reported and adjusted effective tax rates in the range of 26.5% to 28%. Capital investment commitments are expected to be between $330 million and $350 million, of which more than $100 million is being invested to drive specialty growth. For the first quarter, we anticipate total company net sale to be slightly up and operating income to be modestly up. We're watchful of COVID-19 infection rates, as well as the pace and effectiveness of vaccination rollouts. As we see net sales volume generally correlated with increased consumer activity and availability of food and beverages consumed away from home. As far as the regional outlook, we anticipate the following for the first quarter; North America net sales to be slightly down as we lap pre-pandemic quarter and operating income to be flat. Moving to South America, we expect continued volume recovery and strong pricing gains. In EMEA, we anticipate modest net sales growth and operating income to be slightly up. Finally for Asia Pacific, we're expecting strong net sales growth and operating income to be flat to slightly up as we expect improvement in PureCircle's operating loss. With that, let me turn the call back to Jim Zallie.
Jim Zallie: Thanks Jim. Before taking questions, I’d like to share with you some recent recognition we received. Ingredion was recently recognized once again by Fortune as one of the world's most admired companies for the 12 consecutive year. Also in recognition of our commitment to diversity, equity and inclusion, we were included for the fourth consecutive year in the Bloomberg Gender-Equality Index and earned a near perfect score on the human rights campaigns 2021 Corporate Equality Index. These recognitions are a testament to the progress we continue to make to fulfill our purpose to make life better for our employees, customers, suppliers and all stakeholders. Before closing, I'm also pleased to announce the addition of Eric Seip to my Executive Leadership team. Eric joined Ingredion as Senior Vice President, Global Operations and Chief Supply Chain Officer in January. Eric brings more than 30 years of operational excellence, supply chain, logistics and procurement expertise to Ingredion. Finally, all of us in Ingredion continue to be directed by our roadmap for value creation. Despite the unprecedented challenges of last year, we look back with pride on the progress we made to strengthen the value propositions of our growth platforms, connect and co-create a new and different ways with customers and have our employees live each day inspired by our purpose. That includes my comments. And now, let's open the call to questions.
Operator: [Operator Instructions] Our first question comes from Ben Bienvenu with Stephens Inc. Your line is open.
Ben Bienvenu: Hi, good morning everybody.
Jim Zallie: Good morning, Ben.
Ben Bienvenu: I want to ask about your 2021 guidance, I think it's notable and probably pleasantly surprising to most the 1Q guidance is as strong as it is in light of how much net corn costs that – you're like they could have gone up. I'm curious particularly guiding to flat up income for North America in the first quarter. What's going on operationally, whether it’d be hedging or product mix that you guys have seen that give you the confidence to guide that way? And then alongside that, given that 1Q looks to be one of the toughest compared to the year, it makes the full year guidance look potentially conservative. Is that just a by-product of uncertainty related to COVID or is it something else?
Jim Zallie: Yes, I'll take the last question first. I think that the uncertainty that exists still around the world is the reason to be cautious, for the outlook for the full year to be able to have visibility that far into the future I think is the reason why you may interpret the full year comment to be the way they are. As it relates to the net corn equation, let me turn that over to Jim to talk about. Jim?
Jim Gray: Yes, Ben, our North America contracting was substantially complete by mid-December. And as you know, our hedging practices match the changes in the gross cost of corn with the changes in the co-product values. So given the increase in corn futures layout after mid-December, we really feel like both Q1 and into the first half of the year, we hedge effectively as our customers were contracting. We've taken that into consideration, obviously, the run-up in corn really after mid-December all the way up and through and what we're seeing today in January. We've taken that current layout as of mid-January into our outlook for both North America, as well as the company.
Ben Bienvenu: Okay. Makes perfect sense. You – we appreciate the guidance you did provide on 2021, as it relates to the operating income, you also provided the tax rate guidance. Is the reluctance to provide adjusted EPS guidance a function of the financing costs and the exposure to Argentina hyperinflation, or what – that kind of that last missing variable, what caused you to be reluctant to go all the way to an adjusted EPS guidance?
Jim Gray: I’ll take it. I think two questions, or two reasons. One is just, as we look at the impacts of COVID, we're definitely seeing more muted impacts of a surge in infection rates on away from home consumption. I think if you’ve looked at the end of the year, December, the impact of food service in the U.S. for example was much, much less than the impact of food service back in April of 2020, yet we're still cautious. It's not as clear at the pace of the vaccination roll-outs and we're still going to be prudent about what a surge in cases can do to various government actions, restrictions on indoor dining, and generally how people feel about consumer mobility, so that's reason one. I think the second reason as you mentioned is that, if you have a devaluation of the Argentina peso, because we’re under hyperinflation accounting that will impact financing costs and puts a toggle, puts a variable into the EPS, even though it's a non-cash expense that likelihood or probability still looms out there in the future.
Ben Bienvenu: Okay. Thanks and congrats on the results.
Jim Gray: Thanks, Ben.
Operator: Our next question comes from Ken Zaslow with BMO Capital Markets. Your line is open.
Ken Zaslow: Hey, good morning, everyone.
Jim Zallie: Hi, Ken.
Ken Zaslow: In terms of the specialty business, can you talk about what the volumes were for the quarter? And then can you – is there a way to differentiate – is there a differentiation among geographies of products among the 32% of specialty products? And can you give some color on that now, given that it's now a sizable part of the portfolio?
Jim Zallie: Yes. I mean, special – we were very pleased with our specialties ingredients performance in the year. They proved particularly resilient in 2020 with all the regions showing growth. And what we also felt very strongly about was that the impacts of the pandemic really did not change in any way, the strategy or where the value propositions inherent in those growth platforms. All of them are very complimentary to one another from a standpoint of the formulating possibilities that we can offer our customers, when you think about sugar reduction for example, we use the term functional bill back as it relates to providing the mouth-feel and bulk that is lost when sugar is replaced when you're using a natural high intensity sweetener like Stevia, for example. So that's a very good compliment. When it comes to plant-based protein, it's not just about offering the nutritional quality, but it's also about offering a complete textural solution. So in the case of alternative meats or alternative dairy for example, a system's first approach for us is something that we are – what that is resonating with customers in our offerings, as it relates to being able to not only structure a meat alternative or a dairy alternative, but compliment it from a mouth-feel standpoint with starch or a hydrocolloid, for example. So all of them are different, unique, but all complimentary, and they're supported by our fifth growth platform, which is food systems, which we continue to target for geographic expansion as well as capability build, because we genuinely believe the industry is much more accommodating, given changes in labor availability for more integrated complete solutions and the four growth platforms supported by the fifth really allow us that capability. And I – go ahead Ken.
Ken Zaslow: No, there you go, if you're going to answer the other part of my question, that would be helpful.
Jim Zallie: I think that underlies that is an insights into consumer preferences. And each of the target areas that we look at for specialty is mid-single to high single-digit volume growth.
Ken Zaslow: Okay. So generally speaking, but there – is there a variance among geographies or product mix that you think about it, or should we assume that the – it all grows, the 32% grows, 5% throughout the whole portfolio? You're just giving us an average, is there any dispersion?
Jim Zallie: Yes. Ken, last year, we talked about the different growth prospects or the net sales outlook for the growth platforms for the four year period, going back to CAGNY last year. And just to give you the specifics, I'm just going to remind you of what we said in CAGNY last year, starch based texturizer is 3% to 5%; clean and simple ingredients, 5% to 8%, plant-based proteins would be up significantly because they’re all the small base. Sugar reduction in specialty sweeteners that was pre-PureCircle, we had said 10% to 14%; and food systems was up 7% to 10%. Just as a little bit of a teaser, we will be discussing this at CAGNY and revising and updating this at CAGNY in a couple of weeks. So if that's helpful.
Ken Zaslow: That’s be helpful. Thank you. And then my last question, just to understand, the North American business, you've talked about the pricing and the dynamics there. In the – can you remind us how it works outside the U.S. and what is the typical lag? And is there some sequential improvement throughout the year as you get more pricing, given the higher corn price? How do we think about that on a cadence throughout the year and how do you think about the pricing dynamic outside the U.S.?
Jim Zallie: Let me start and let me then have Jim compliment what I'm going to say. So let me take Europe for example. So Europe goes through a traditional annual contracting cycle, very similar to the United States, and that is complete, and we feel good about where that ended up. Pakistan will have two corn crops and we'll price throughout the year, so – and that business has – and the pricing has proven to be very resilient. In South America, South America over the last number of years has demonstrated I think tremendous pricing agility to be able to price through. Typically there is a lag of three months we say, but they have developed increasingly strong pricing muscles that have enabled them to push through, in fact, on one of the earnings calls not that long ago, I talked about I think we got to almost 90% of our pass through within a quarter, typically it's about 70% to 80%, and then it catches up thereafter. And in Asia Pacific, it's an annual contracting period, and there are always though new opportunities that develop throughout the year. And so we're pricing as we go based on new wins, for example in that region, and I think you're very familiar with U.S. pricing and contracting.
Ken Zaslow: Great. I appreciate it.
Jim Zallie: Thank you, Ken.
Operator: Our next question comes from Robert Moskow with Credit Suisse. Your line is open.
Robert Moskow: Hi, thanks for the question. Jim Gray, I just wanted to make sure I understood the explanation for how the price negotiations in December came out. And then what happened after, I think you said that corn cost started rising after that. So are you saying that – you think the negotiations went well that you covered where corn was in December? But then there was an increase after that, that needs to be coped with specifically in North America, or am I misunderstand?
Jim Zallie: Yes, let me. Rob, let me take it since it relates to contracting piece and then let me let Jim add any color commentary. When we go back to say the beginning of contracting in early November, prior to the news of an effective vaccine coming out on November 10, I think it was, the industry was facing uncertainty regarding the important recovery in food service demand in the U.S. and then the subsequent demand for beverage consumption away from home. So that was the kind of climate as we entered into contracting. As a result, we expected to see, and we expect to see increased consumer mobility and volume recovery in 2021. So against that backdrop, as we went into contracting, contracting for us ended up with expected volume gains and some modest margin compression, that said we expect full year profit growth in North America from manufacturing productivity and strong operating expense control. Jim, do you want to add to that?
Jim Gray: Yes. Maybe Rob, just to help you with the timeline, right, because you did see, corn was kicking around as a futures layout between $3.80 a bushel, $4.15, $4.20 a bushel up until about mid-December. And we were largely complete with contracting and it followed our hedging practices, as we mentioned previously. As you see the corn futures move up to what we're seeing the layout today with the first half of 2021 futures higher and the back half of 2021 futures lower, the co-product values have also moved and the co-product values are that offset. So we're seeing some balance, so we're just going to watch the market and we'll talk about the layout of the corn, as we move through the spring planting and expectations for what the summer harvest looks like. But we're watching and we've got our hedges placed, and we're looking at the co-product values relative to the elevated cost of gross corn, and so that's what we'll watch as we go through the year.
Jim Zallie: And I think it's fair to say, Jim; that the comments that you made earlier and the comments that you're making now relate to where corn sits today. So obviously, we're going to just continue to watch it and hopefully there is nothing extraordinary show manifest itself with planting and all of that.
Robert Moskow: Okay. And a quick follow-up, in terms of the net corn cost layout last year, was the toughest comparison already passed you by the time 2020 started, like I remember fourth quarter was really pretty hard. But where the byproducts improving in 2020? So how does – where are your easiest comps in 2020, as these quarters move ahead? Or are there easy comps?
Jim Zallie: Well, I think the – in Q1 of last year, we started to see some co-product values increased, particularly corn oil. And then in Q2 and Q3, you saw, I think, easier comps from a lower cost of corn, right. And that's really – Q4 really easiest in gross corn, right. So now, in the Q4, you see your – in 2020, you saw your gross cost of corn starting to spike up, right.
Robert Moskow: Right. Okay, all right, thanks a lot.
Jim Zallie: Okay. Thanks Rob.
Operator: Our next question comes from Adam Samuelson with Goldman Sachs. Your line is open.
Adam Samuelson: Yes. Thanks. Good morning, everyone.
Jim Zallie: Hi, Adam.
Jim Gray: Hi, Adam.
Adam Samuelson: Hi, so I wanted to just maybe clarify a little bit on the guidance. So on the full year, the point on sales to be modestly up. If I'm looking back to 2020, volumes were down for – and so especially with the second quarter when you were down 13%, I mean, you're going to be lapping that. So the modestly up on a global basis with really easy volume comparisons, where some just important customers will work offline that I presume you're not expecting to repeat. I'm just want to make sure I'm thinking like why – I mean, volume is, why are they only modestly up against that? And I presume also that there should be some price mix tailwinds given some of the corn pass-through that would happen both in your tolling contracts in North America but also outside the U.S. So maybe just I'm trying to parse out a little bit first.
Jim Zallie: Yes, I would point to – quarter one for us was a strong quarter, for the most part, Asia-Pacific, obviously was beginning the pandemic at that point. But quarter one for us was a strong quarter. And…
Adam Samuelson: So, Jim, I just asked there. I mean, you were – your volumes at the corporate level were flat in the first quarter of 2020, just want to clear on the comparison.
Jim Zallie: Yes, I understand that…
Jim Gray: It's a mixture.
Jim Zallie: I think it's a mixture from a standpoint of the various regions and how that all worked out. But what I think we are saying is, we're taking an outlook that reflects continued uncertainty and lack of visibility when you consider the fact that we're still in lockdown and/or partial lockdown in many places around the world. And so, we in – what we factored into our guidance have indicated that that will continue through the first half of this year and then start to ease in the second half of the year. And so that's what's taking into – that's what we've taken into effect as it relates to our sales guidance. That's the biggest variable, Adam, which is that, when you look around, not just what we understanding in the United States, how vaccine rollouts in Europe, but also in South America as well as Asia-Pacific, which seems to be much more kind of government-controlled based upon a flare-up with the pandemic and more restrictive movement. What we're looking at is, hey, how can we see the return of the volume demand from some of the categories that really moved. So, your HF and your beverages, some of our brewing inputs, some of the sweetener volumes that go inside of bakery or confectionery, right. These – the demand from our customers is tied to have greater consumer mobility, shopping at informal channels, going to pubs and restaurants. And so that's – we're just – look, there is a pace to that recovery. And that's what we're taking into consideration.
Jim Gray: And the other consideration is that the amount of stimulus that went into certain country, certain regions, we don't believe will be injected at the same degree. Brazil is an example of that. So Brazil is sitting on very high deficits, of course, like most countries, but they infused a tremendous amount of stimulus, which helped with volumes in quarters three and four. That expired in December 31, and the economic minister has come out with some cautionary tone in regards to what they can do going forward. So those kind of things were all taken into consideration as we put together our outlook.
Jim Zallie: Despite those things Adam, I mean we're still saying that we're looking at net sales to be up modestly.
Adam Samuelson: Okay. And then in the operating income up modestly against that sales outlook, you've talked about targeting $63 million of incremental run rate savings from Cost Smart. I believe that's a gross kind of number just from a productivity perspective. What's the net kind of cost savings that we should be thinking about in the 2021 bridge as it relates to Cost Smart? And that's a run rate, so maybe year-end. So I was just trying to think about what actually hit the P&L in 2021?
Jim Zallie: Yes. So obviously, we have savings that are coming out from initiatives that we ended the year in 2020, and so some of that will be a benefit to 2021 as we enable and take actions in 2021 as we get to the end of 2021 with our targeted $170 million of cumulative run rate savings. We'll see a difference in that benefit that you highlighted, spread between 2021 and 2022. That's how I'd characterize that.
Adam Samuelson: Okay. And then I just want to clarify one of the…
Jim Zallie: That $60 million of spread is benefit in 2021 from end-year savings, and that's also been carried over into 2022 from that.
Adam Samuelson: And then, I just want to clarify kind of some of the other points on corn. So from a hedging perspective, trying to say, I mean, especially in North America your hedge on corn for the year? And so if there is – if corn stays at these level in 2021 to 2022-ish, I should say is when we have to think about the pricing actions to offset cost inflation. I'm just trying to make sue I'm understanding those comments properly?
Jim Zallie: Yes. So I think any modest exposure we may have in our U.S. flat price or fixed contract business, in the second half due to the continued recent run-up in corn costs, we think will be mitigated by concurrent increase in the co-product values, along with the anticipated kind of volume recovery that we referenced earlier, right. So we intend as well if there's any kind of net exposure there, we're looking at both manufacturing productivity as well as op expense to be able to mitigate that.
Adam Samuelson: Okay. I really appreciate all that color. I'll pass it on. Thank you.
Jim Zallie: You got it, Adam.
Jim Gray: Thank you.
Operator: Our next question comes from Donald McLee with Berenberg. Your line is open.
Donald McLee: Good morning, guys.
Jim Zallie: Good morning.
Jim Gray: Hey Donald.
Donald McLee: So I was hoping that you could maybe give your thoughts on last week's announcement of product development partnership between one of the major global food and beverage companies and then an emerging packaged food name. I guess within that, just. First, are these types of arrangements novel? And then second, would you consider it as complementary or maybe in competition with the value that Ingredion adds in the product development cycles from those food systems business?
Jim Zallie: Are you referring to the joint collaboration, joint venture between PepsiCo and Beyond Meat?
Donald McLee: Correct, yes.
Jim Zallie: So what I would say is that just provides, I think, us opportunity because we have offerings from an ingredient standpoint, food systems formulating standpoint that would appeal to both of those companies in their quest to formulate a range of plant-based snacks. Jim Gray was pointing out to me when we were discussing this because he joined us from PepsiCo and reminded me of their meat-based snacks, which everybody knows, those high-protein meat snacks are growing. So an alternative meat-less plant-based version of that is a great concept. And I'm sure those two companies will be working on that, and we hope to be certainly working with them and other companies as we formulate our approach toward food systems leveraging again plant-based proteins and a whole range of other specialty portfolio ingredients that we have.
Jim Gray: Yes. Donald, I just – I think you're touching on something which is a confluence of what generations or younger generations might want to eat, so – is what they're eating and the choices they're making both sustainable, but also delivering the nutrition make up. So, that more protein, less carbohydrate or a balance, right but then also is it combined with, is it snackable, is it on the go, is it convenient. And I think, this is not just PepsiCo, but other customers of ours have really looked at this space. And think that it's not just about a tasty carbohydrate and a fat in our oil, but can we change the nutrition makeup. And so we've been talking to that as Jim references, that when you start to change the underlying ingredient components, that's when you really engage Ingredion to help with not just maintaining the texture, but the taste and then are also delivering the nutritional value.
Jim Zallie: Yes. And we also feel that one of the things we've learned from the many years of formulating with specialty starches, that you need a portfolio of ingredients, and that's why having a range of pulse-based flowers, concentrates and isolates, that all increasing in protein along that continuum and having the formulating capabilities gives us the most optionality to help customers from a food systems standpoint for these different snacks and alternative meat-type products that they’ll be developing.
Donald McLee: Okay. Thanks. That's really helpful, guys. I'll turn it over from that.
Jim Zallie: Thank you.
Operator: Our next question is follow-up from Robert Moskow with Credit Suisse. Your line is open.
Robert Moskow: Thanks. Just a quick follow-up, but do you have an estimate for what the incremental benefit in 2021 will be from PureCircle compared to 2020, and also Verdient, like – will Verdient contribute positive profit and maybe PureCircle gets back to flat or something like that?
Jim Gray: Hey, Rob, as we think about the five months of the impact that PureCircle had within the 2020 financials, we noted today that has an $11 million operating loss. As we look forward to 2021, we see a loss it's less than that for the full year and working because as we've noted the $14 million of cost synergies that we've actioned, those will start to reduce the overall OpEx. And so, we'll see PureCircle at a run rate of a loss in Q1 of still kind of 2-ish to 3-ish, and then we're going to be working that down as we get more to Q4 and all of the cost synergies savings impact are affected on the business.
Robert Moskow: Okay. And Verdient?
Jim Gray: So Verdient, right now, we're working on that integration, I think what we're kind of come back to is just talk about more of a plant-based protein overall platform. And we'll shed some more light on that as we get into CAGNY.
Robert Moskow: Okay. Okay. Thanks a lot.
Jim Gray: Okay.
Operator: Thank you. And this concludes the question-and-answer session. I would now like to turn the call back over to Jim Zallie for closing remarks.
Jim Zallie: Okay. Thank you for joining us today. And we look forward to continuing our discussion later this month, virtually at CAGNY. And in the meantime to everyone, please stay safe, vigilant and look forward to talking to you at CAGNY.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.